Operator: Good morning. My name is Ashley and I will be your conference operator today. At this time, I would like to welcome everyone to the Yum! Brand 2009 third quarter earnings conference call. (Operator Instructions) I would now like to turn the conference over to Tim Jerzyk, Senior Vice President of Investor Relations and Treasurer. Sir, you may begin your conference.
Tim Jerzyk: Thank you, Ashley. Good morning, everyone and thanks for joining us today. This call is being recorded and will be available for playback. We are broadcasting the conference call via our website, www.yum.com. Please be advised that if you ask a question, it will be included in both our live conference and in any future use of the recording. I would also like to advise that this conference call includes forward-looking statements that reflect management’s expectations based on currently available data. However, actual results are subject to future events and uncertainties. The information in this conference call related to projections or other forward-looking statements may be relied on subject to the Safe Harbor statement included in our earnings release last night and may continue to be used while this call remains in the active portion of the company’s website at www.yum.com. In addition, we would like you to please be aware of two upcoming Yum! investor events. December 9th we will host our annual investor and analyst conference in New York. Registration is required and you will be receiving more information on the conference very soon so keep that date on hold. Second, our next earnings release, Wednesday, February 3, 2010 will be for our fourth quarter earnings and will be released that day after the close. On our call today you will hear from David Novak, Chairman and CEO, and Rick Carucci, our CFO. Following remarks from both, we will take your questions. And now I’ll turn the call over to David Novak.
David C. Novak: Thank you, Tim. I appreciate it very much. This is a big week at Yum! Brands. This is our Founder’s Day week that we are celebrating our 12th anniversary since we were spun off from PepsiCo and I am very pleased to report that our global portfolio delivered a 15% increase in operating profit for the third quarter before special items, including impressive 32% growth in China and 18% growth in the United States. As a result of our year-to-date profit performance, we are raising our full-year 2009 EPS growth forecast to 12%. Our growth this quarter was driven by continued development of high return, new units in China and cost savings in our U.S. business, as well as substantial commodity deflation. These factors more than offset generally sluggish same-store sales performance. Importantly, our China and Yum! Restaurants International businesses remain on track to open over 1,400 international new units this year. We believe this development will continue to lead the industry and provide us with even stronger competitive positions in high growth developing markets. Now let me take you through our key strategies and trends for each of our divisions. First, I am obviously very proud of our China team’s performance. Our China division generated operating profit growth of 32% and margins over 23%. We remain on track to deliver at least 475 new units in Mainland China this year. Now remember, our new unit development provides a cash pay-back of less than three years. Now let me share with you a few highlights from each of our leading brands in China -- KFC continue to be the largest western QSR concept in Mainland China with over 2700 units in over 600 cities and average unit volumes of $1.4 million. Importantly, China continues to be a leader in executing our long-term strategy to develop new, incremental sales layers. We have established new proteins beyond chicken to now offer fish and beef. We are also steadily expanding KFC into new day parts, including breakfast and delivery. We now have a national breakfast offering that features western and typical Chinese items. This gives us a great base to establish a whole new day part. We intend to win at breakfast and drive sales mix from 5% today to at least [20%] sales mix over time. We have also established KFC delivery in over 90 cities and nearly 600 units. This sales layer gives us the ability to grow our catering and dinner day part, which typically have a higher ticket average. We are confident we are on the ground floor of both of these big opportunities. Importantly, our KFC consumer brand position has never been stronger. We lead in important measures like value for the money, great taste, convenience and speed, as well as variety of choices. No question -- KFC is in the enviable position of being a leading brand growing in both stature and size in this all-important China market. Many of you may be surprised to learn that our Pizza Hut casual dining brand is the number one casual dining chain in China and also outside the United States. We continue to build a significant lead in the western casual dining category with 442 units in over 100 cities. A new enhanced menu has helped us increase average unit volumes while driving margins to record levels. The improved menu includes new entrees with beef, chicken, and shrimp, along with a wide variety of appetizers, beverages, and desserts. Additionally, we improved our pizza value on the low-end to provide broader appeal. Our tea time beverage and dessert program continues to drive snacking and mid-afternoon sales. This is consistent with our goal to use the asset throughout the day, which will ultimately include breakfast. We also continue to invest behind the development of our emerging brands in Mainland China. Pizza Hut home service now has 87 units in 11 cities. We will grow as consumer demand for convenience is inevitable in this segment. East Dawning, our Chinese fast food brand with 19 units, is now generating sales that are roughly 85% the level of a typical KFC, which means we have a powerful concept. We are excited about the recent opening of our first central kitchen which will help us get to scaleable economics. We will keep you posted on both of these emerging concepts. Bottom line, I couldn’t be happier with the progress we are making executing our China strategy to build leading brands in every significant restaurant category. Next, Yum! Restaurants International, where we are aggressively driving expansion and building strong brands in the more than 110 countries that we are in. Here’s why we are so excited about YRI -- number one, over 85% of the nearly 13,000 restaurants in this division are franchise units which generate a steady growing stream of franchise royalties. Number two, this business is a consistent development machine. This will be the ninth year we’ve opened more than 700 new restaurants and this year we’ll open at least 900. And number three, we are the overall market leader in the high growth developing economies and our lead is increasing every year. While our long-term growth prospects have never been better, our third quarter sales did slow down. Operating profit growth for the quarter was flat. Excluding foreign currency translation, driven by poor performance in two company markets, Mexico and South Korea. Just like China and everywhere in Yum!, we are aggressively going after sales layers -- in particular, KFC, our largest concept in Yum! Restaurants International, is making major progress on Crushers, our proprietary line of frozen beverages. We entered the year with just 100 test units having Crushers and we will exit 2009 with at least 2,000 units. We expect to expand to 5,000 units by the end of the year. At that point, our new highly incremental beverage sales layer will be in over 60% of Yum! Restaurants International’s KFC units. KFC also continues to develop other new incremental sales layers. We already have individual markets successfully executing non-fried chicken, breakfast, and seafood products. We are committed to making each of these initiatives global over time. Pizza Hut is pursuing the same strategy as China to broaden and enhance our casual dining menu in Yum! Restaurants International markets. We have seen the benefit of this initiative in several countries in Southeast Asia, the Middle East, and Central America. We are definitely in the process of elevating our positioning to become a true mainstream casual dining brand around the world. Yum! Restaurants International has a great base business and we are bullish about our new unit opportunities in developing economies like India, Russia, Brazil, and Vietnam. I am heading off in a couple of weeks to India where KFC is starting to take off and Taco Bell is getting ready to open the first unit. We will tell you more about India and these countries at our annual investor conference in December. But today, I would like to simply highlight South Africa, a country I recently visited. In this country, KFC has a significant brand leadership position with a 4-to-1 lead versus western competition. It is an all-franchise business with over 550 units. Our unit economics are similar to China and the brand is arguably the strongest consumer brand in the country. South Africa is a great example of how much our company has changed over the past 12 years. South Africa wasn’t even on our radar screen when we made roughly $4 million when we started this company. This year, we expect to make over $40 million and when I was there, I saw new units in downturn Johannesburg, suburban areas, townships, and rural areas and it is so inspiring to see these brand new, beautiful KFCs and the jobs that we are creating in this developing country. We are also building franchise relationships to expand beyond South Africa to countries like Nigeria, Kenya, and Tanzania. It’s easy for us to envision that we will one day make more profits in countries across Africa than we do in KFC in the United States. In summary, Yum! Restaurants International growth and development is on track. We have strong unit economics. We have substantial runway for growth in the emerging markets and I would like to take a moment to thank our strong franchise partners for the investment they continue to make and for partnering with us to build such a fantastic global business we can all be proud of. Now before I move on to our U.S. business, I would also like to send my heartfelt support to our teams in Southeast Asia as they have faced significant natural disasters over the past week in Indonesia, the Philippines, Vietnam, and Samoa. Our thoughts are with all the families that have been impacted by these tragic events. Only a few of our restaurants were impacted and we are working with our franchise partners to get them reopened as quickly as possible. Next on to our U.S. business, where our focus is to improve our brand positions, consistency, and returns. Our U.S. business achieved strong operating profit growth of 18% with substantial improvement in restaurant margins and significant G&A savings. This has more than offset a 6% same-store sales decline. The U.S. team’s focus on proactive restructuring and productivity, along with lower commodity costs, fueled this profit growth. Now Taco Bell and KFC same-store sales were down two points, roughly in line with the industry. Pizza Hut had a tough quarter with same-store sales down 13%. Taco Bell, our largest and most profitable brand in the United States, continues to have the leading value position. We will continue to play to that strength with more exciting news on the why pay more menu with items like Blackjack Taco at $0.89. We believe the brand’s sales are soft because everyone is now focusing on the value game and customers are obviously cutting back across the board. Nevertheless, we are confident our brand proposition has never been stronger and we are improving our operation majors -- everything from speed of service to order accuracy. We will kick off 2010 with our first national advertising of our Fresco line of products, nine great tasting products with nine grams of fat or less. Believe me, we are going to have some fun with the marketing that we are going to be doing and we will definitely break through the clutter. In addition, our pipeline of new products for 2010 is full. Longer term, we are most excited about breakfast, which is off to a great start with our current test. At KFC, Kentucky Grilled Chicken has been an un-qualified success. It started the process of transforming the brand by overcoming KFC’s biggest barrier to frequency, people looking for more balanced choices. While our same-store sales were down 2% this quarter, we made major progress on building awareness in trial. We have driven awareness to 75% of quick service restaurant users and 60 million people have tried the product. We also continue to get rave reviews from customers who have enjoyed the product, so continuing to drive trial is our top job as we entice people to join what we call the Grilled Nation. We have brought back the $3.99 two-piece meal, arguably the best value in the category for a complete meal. In summary, Kentucky Grilled Chicken was a major step in the right direction. The investment we have made in Kentucky Grilled Chicken will help us be much more competitive in 2010 and beyond. We needed to broaden the appeal of this brand and we have done it. Pizza Hut in the United States is obviously struggling with a same-store sales decline of 13%. As you know, higher ticket premium products are under pressure in all categories. Pizza Hut is clearly premium priced in its category and is definitely paying the price for it. However, we believe the Pizza Hut brand is too good a brand to be performing this poorly. We need to offer better value and get more credit for our high quality offerings. We intend to get more price competitive at the local level. We will also continue to transform the brand from just pizza to pizza, pasta, and chicken. As a matter of fact, we just launched our first national advertising for our Wing Street brand of flavored wings and we’ll grow this segment over time. Going forward, we are confident in our strategy. The reality is that we have a lot of wood to chop as we establish our pizza value and make pasta and chicken incremental occasions. This is a big challenge. We are not happy with where we are at at Pizza Hut but we have a great team and we think they are up to making progress. So let me wrap up the Yum! Brand’s performance. This is a very difficult economic climate, so generating sales growth has been tough and may stay that way for a while. But in total, the profitability of our business is rock solid, as you’ve seen from our year-to-date results. In fact, if someone would have told me at the beginning of the year that our company would end up with 12% EPS growth, open over 1,400 international new units, improve our margins around the world, drive profit growth in each of our divisions, make strategic progress developing new sales layers, and increase our dividend 11%, I would have said count me in, book it. Well, that’s exactly what is happening in 2009. This performance gives us solid footing going forward and builds on our track record of at least 10% earnings per share growth that we have enjoyed for the last seven years. Now let me hand it over to Rick to give you more details.
Richard T. Carucci: Thank you, David and good morning, everyone. I am going to comment on three areas -- first, our third quarter results and balance of year expectations by business segment; second, our full-year outlook and our overall Yum! business; and third, an early perspective on 2010. As we review our business segments, let’s start with China. China division operating profit grew 32% and system sales grew 11%. This sales growth was fueled by new restaurant development as Mainland China same-store sales were flat. We saw growth in the central and western provinces offset by weakness in export impacted coastal provinces with a difference in sales comparisons of about five points. Restaurant margin was over 23% in the third quarter, or 2.3 points above last year. This was driven by about $20 million in commodity deflation. As a reminder, we experienced high chicken commodity inflation in the third quarter of 2007. At that time, we took a price increase which only offset a portion of the cost increase because we expected prices to come back down. While it took longer than originally expected for these costs to decline, we are very pleased that China margins have returned to 2007 levels. Now on to YRI -- system sales growth was 4% prior to for-ex translation, driven by new unit development. In 2009, we have seen strong same-store sales in most of the developing markets. This was generally true in the third quarter when as an example, KFC India was up over 20%. However, overall YRI same-store sales growth was flat due to a general softening of sales across most regions. We were disappointed with flat operating profit growth excluding for-ex in YRI during the third quarter. We experienced weakness in the company-owned markets of Mexico and South Korea. In addition, third quarter profits were affected by the timing of division overhead expenses. During the fourth quarter of ’09, we expect similar sales but improved profits at YRI. YRI has not yet experienced the benefit of commodity decreases. We expect to see some benefit in the fourth quarter as some of our longer term contracts get renewed. In addition, we expect to benefit from timing issues on facility actions and overhead expenses. While for-ex translation continues to negatively impact YRI’s reporting results and growth rate in the third quarter, we actually expect little or no impact from for-ex in the fourth quarter. Now to the United States, where our same-store sales performance was lower than expectations and declined by 6%. Taco Bell and KFC both saw declines of 2% and Pizza Hut declined 13%. Despite a decline in U.S. sales, we saw third quarter restaurant margin increase by over three full points. Commodity deflation was the primary driver with a $16 million reduction in the third quarter versus last year. Beyond that, each of our brands has been aggressively deriving productivity initiatives in the stores. This includes going after the basic blocking and tackling, like more efficiently opening our restaurants I the morning with reduced labor and energy consumption. I would like to thank the operation teams for their cost focus and these savings do add up. As previously communicated, U.S. profitability in 2009 will benefit from the restructuring completed in late 2008 and early 2009. There were $16 million in G&A savings for the third quarter, which was on top of $38 million of savings in the first half of the year. We remain on track to deliver at least $60 million for the full year. We are quite proud of the efforts of our U.S. teams to achieve restaurant margin improvement and G&A reductions which led to Q3 operating profit growth of 18%. With that said, we expect weak fourth quarter profits in the U.S. The sales trends have not gotten better and we anticipate less benefit from pricing and commodities than we experienced in the third quarter. These items all put downward pressure on our margins and we don’t anticipate the improvements we have seen in the past four quarters to continue. We will get a benefit from G&A cost reductions in the U.S. but the remaining benefit will be less than in the third quarter, so we now expect the fourth quarter to be the low point of the year for our U.S. business. Prior to closing the books on the U.S., I would like to mention that our re-franchising program has continued to move forward. Although tight credit markets continue to slow transactions, we have refranchised over 350 restaurants as of today and remain on pace to achieve our full-year target of 500 units. To summarize the third quarter for Yum!, we had outstanding profit growth in China and the U.S. The EPS growth excluding special items of 21%, benefited from new unit development in China, G&A savings in the U.S., and lower commodity costs in both China and the U.S. businesses. This helped offset approximately $0.02 per share of negative for-ex translation impact for the quarter. In this tough environment, we were quite pleased with our third quarter results. Now let me give you a few thoughts of our full-year results. Overall, 2009 has been a tough year to forecast and that theme continues. Nevertheless, our strong year-to-date profit performance has allowed us to increase our full-year guidance. Let me put our year-to-date results in perspective -- year-to-date, our operating profit growth before special items is 8%. This includes a for-ex downside of $53 million. Without this for-ex downside, our year-to-date operating profit is 13%, a result we are very proud of. While we are benefiting from commodity upsides in 2009, let’s remember that these are off of record increases in 2008. In the U.S. in 2008, we experienced about [$120 million] of commodity inflation. We expect about $20 million of deflation in 2009. These two years combined provide average inflation of about $50 million per year, while a typical year of 2.5% inflation would result in about $30 million of inflation. We increased our EPS guidance for the year to $2.14, or 12% growth, based on the strong year-to-date profit performance, along with a lower-than-expected full-year tax rate. We expect 2009 will mark our eighth straight year of double-digit EPS growth. When we look back upon our track record, each year has been unique. In any one year, we meet or exceed expectations in many areas of the business and we usually face opportunities and challenges that we did not expect. However, I think it’s fair to say that we consistently benefit from a resilient global business model led by strong management teams around the world. Our leaders feel a high degree of accountability to deliver both annual financial performance and the long-term business value and that’s exactly what is happening in 2009. Finally, a few initial comments about 2010 -- by many people’s estimation, 2010 will be another challenging year for the consumer. Whether that proves true or not, we are certainly planning our business as that will be the case. However, Yum! has a number of strengths that give us confidence that we will be able to extend our track record of strong financial growth. Let me talk about a few of these advantages. First, as a company we deliver a significant [inaudible] growth from high growth new unit development in China and YRI. This has proven true for many years and 2010 should not be an exception. Our 2009 development of at least 1,400 new units outside the U.S. will provide a full-year benefit to profits in 2010. In addition, our development pipeline for the next year looks similar to what it looked like at this time last year. Second, we just have a great business in China. China is a long way from the U.S. and I know that many people have not been able to see it with their own eyes and therefore may doubt the strength of this business. There are some who may also doubt our ability to continue to grow it. However, let me summarize a few characteristics of our China business that are unique. First we have a huge presence advantage. KFC is the only western QSR brand in the vast majority of the 600 cities in which we have restaurants. Second, our competitive position continues to improve in key growing parts of the country. In 2009, we will add 140 KFC units in the central and western regions of China. More than half of our new unit KFC development will be in tier 3 through tier 6 cities. In the central and west regions and in smaller tier cities, our lead versus competition is even greater. In these parts of the country, our cell phone distribution system, our large seasoned development team, and our strong regional operations leadership provide significant and ongoing strategic advantages. Third, our economics in China are excellent -- as we have previously discussed, we have strong margins and great new unit economics. Fourth, while I don’t know when the China economy will improve, my guess is that it will strengthen before the rest of the world. In our YRI business, you can look at the fact that earnings from our franchise business provide a very predictable profit stream and have a strong history of growth. When you put China and YRI together, we have a unique powerful global growth model. We believe we are very well-positioned to drive growth in 2010 and beyond. In the U.S., we have a cash machine that has been strong and steady. We are also looking to improve sales performance at each of our brands. At the same time, we will continue to manage costs tightly. For 2010, we have already taken actions on our G&A structure. The cost savings we have already identified are enough to offset the roughly $20 million negative impact from refranchising as we move from a restaurant margin to a royalty. We may have difficulty lapping the 2009 tax rate. However, we don’t expect as much headwind from foreign currency translation in 2010. While it was difficult to forecast, we would actually see a benefit in 2010 if today’s spot rates continue. We are in the early stages of building our plans for 2010 to deliver 10% EPS growth. We will share these plans with you during our December 9th analyst meeting in New York. To wrap up, we expect to deliver another successful year in 2009. We are well-positioned in 2010 when once again we expect to generate consistent financial performance, impressive global growth, strong free cash flow, and substantial returns to shareholders. Back to you, David.
David C. Novak: Okay, well, let’s just turn it over for questions from the group.
Tim Jerzyk: Ashley, let’s open up the queue for questions.
Operator: (Operator Instructions) Our first question comes from the line of John Ivankoe with J.P. Morgan.
John Ivankoe - J.P. Morgan: David, I was hoping that you could comment on just your view of the YRI business -- you know, in general. I mean, the conversation that we’ve had many times over the years is a stubbornly low and quite frankly declining store margin in that business and what would increasingly be suggesting that there probably aren’t very many stores or certainly very many markets where Yum! as a corporation has earned the right to own, to use a phrase of your own. So if you can kind of put in the context expectations 2010, 2011 -- one, significant improvement in YRI company store margins, or secondly if you are considering a major plan of refranchising to basically get those stores to franchisees and presumably at this point might even look like a neutral to earnings or even accretive to earnings transaction.
David C. Novak: Well, I think first of all when we think our Yum! Restaurants International business is an absolute powerful engine for us going forward. I mean, the big driver that we have is a business here that is almost owned and operated 90% by franchisees, they are opening up close to 90% of -- this year it will be about 900 new units that we open, and that’s the big driver of our overall profitability. Longer term, we are very excited about the fact that we are pursuing the Yum! strategy of developing major new sales layers, so we expect to get even more profitability and more cash flow for our franchisees out of these units as we go forward with the launch of the breakfast, of the beverage program, Crushers. We are testing breakfast, we think that will be a long-term opportunity for us because there isn’t a whole lot of competition other than McDonald’s outside the United States in terms of western brands. So we think the new units and the sales story over the long-term is really tremendous for us and also we have a tremendous lead in the emerging markets. In terms of the ability to look at our portfolio in terms of what we should own or franchise, we constantly do that. We look at that every year and I can only tell you that we do have an earn the right to own mentality and we do have some markets that could potentially be refranchised and we are looking at that.
John Ivankoe - J.P. Morgan: And how much of a near-term priority is that for you, either improved company store margins -- I mean, what to me would suggest hundreds [inaudible] or sell them to franchisees. I mean, is that something that could happen in the next 12 months? I mean, how front-burner of an issue is it for you?
Richard T. Carucci: Well, why don’t I talk a little bit about margins, John, and I’ll try to answer the first -- that question as well. To your point, we are not very happy with our margins at YRI this year and it was led by Korea, Mexico as we sort of said in our release and in our speeches. I do want to emphasize that YRI has not gotten the benefit from commodities that we have seen in China and the U.S. so -- and that’s due to long-term contracts. We signed long-term contracts really before commodities went down at YRI in quite a few places and those are starting to roll off now so we do expect some commodity deflation in the fourth quarter which will help margins then and hopefully into next year. So right now in terms of YRI, I would also like to emphasize while we care a lot about the margins and we are focused on that, that’s not the main driver of profitability at YRI. We are mostly a franchise dominated business and where we care most about our equity is when we are starting up in these markets that we think have huge potential for us. So for example, we have equity in France right now and while we have decent margins in France, they are not as high as you expect them to be given those high sales levels because we are still not at scale yet. But we expect to get there. India we are starting to have equity there as well and we think we have huge potential to grow those businesses. So YRI primarily, we believe equity is more of a tool to get us started into high growth countries than a profit driver in itself. As we look at our portfolio, this is probably not the greatest time to make moves on it but it is something we will consistently look at, as David mentioned.
John Ivankoe - J.P. Morgan: Thank you very much.
Tim Jerzyk: Thanks, John. Next question please, Ashley.
Operator: Your next question comes from the line of David Tarantino with Robert W. Baird.
David Tarantino - Robert W. Baird: Just a clarification on the 2009 guidance -- it looks like a pretty pessimistic view on operating income for Q4. Is that all related to weakness in the U.S. or is there something else going on? And perhaps you can reconcile a little bit better your expectations for Q4 versus the year-to-date performance that you have seen?
Richard T. Carucci: I think if you look at it versus year-to-date, and obviously we -- I will preface this again by saying it’s a difficult environment to forecast but we probably expect similar type of results in China for the full year as we had seen year-to-date. On the YRI side, we said we probably expect to see slightly better profitability in the fourth quarter than we’ve seen year-to-date, and the U.S. we expect to see probably significantly weaker profitability in the fourth quarter than what we have seen year-to-date, and that’s driven by really the sales trend. If you look at the sales trends, we sort of said they haven’t gotten better and in the third quarter, you saw that those were fairly weak across the board for us.
David Tarantino - Robert W. Baird: Okay, and if I can just ask a follow-up -- given the view related to Q4 based on the sales trends, what type of sales trends might you need to deliver that 10% income growth in 2010?
Richard T. Carucci: We haven’t really put that all together yet. My guess it will be in about the 2% range but we have a lot of work to do before I can give you a better handle on that. One thing I would also like to mention regarding the fourth quarter is we benefited in the first three quarters by share repurchases, which added a couple of points to our EPS growth, and we expect that to actually work against us in the fourth quarter of 2009. Again, the other piece to make this challenging is we believe there will be some sort of correlation between sales growth and commodities. What we don’t know yet is exactly what that will look like as we get into 2010 but my suspicion is that if we have higher sales growth, you will probably see firming up of commodities and if sales growth is weak, then we will probably continue to benefit from commodities.
David Tarantino - Robert W. Baird: Okay. Thank you.
Tim Jerzyk: Thanks. Ashley, next question please.
Operator: Your next question comes from the line of Steven Kron with Goldman Sachs.
Steven Kron - Goldman Sachs: One question and I guess one follow-up -- the question is on China. I was hoping you can maybe dive a little bit more into what you are seeing from a sales perspective. It seems as though consumer confidence there has stabilized and maybe ticked back up and the savings rate, which had been rising, is maybe stabilizing a bit. What are you guys seeing, how did it track throughout the quarter? And I guess maybe you can just reconcile that with your fourth quarter expectation which Rick, I think you just said you think would be pretty similar to what you have seen year-to-date from a profitability standpoint but that would be I guess better than the established guidance of about one point in restaurant margins, so am I thinking about that right? Are you thinking that the year will now be much better from a restaurant margin perspective than what you guys had originally outlined?
Richard T. Carucci: Well again, a couple of things on China -- we are not going to update all of our segments for the full year by line item but regarding sales, we haven’t seen any -- there weren’t any major significant trends versus the quarter that provide insight. We really are going to repeat to what we said pretty much on the last call and that is that we saw the China consumer getting weak with the -- sort of the global financial crisis in around November, December last year. We haven’t seen a lot since then, in either direction. We’ve seen forecasts go up and down but we have sort of seen no real major change in the consumer and we think our results are more a reflection of what we were lapping, so we still see a fairly relatively weak consumer to what it was before November of last year. Having said that, there are some signs that the China economy is getting better and as I sort of said in my comments, I believe it will get better before the rest of the world and we don’t know exactly when the consumer will follow that trend and start to spend more but we think we are well-positioned for when they do.
Steven Kron - Goldman Sachs: And my follow-up is in the U.S. and on the sales side of things -- I think David, either you or Rick put out a number that category sales, QSR sales for the category were down 2% and two of your brands were kind of in line with that. Maybe you could just talk about how that is different from category sales trends in the prior quarter and maybe -- you’re in kind of a unique position to maybe talk about what’s working in QSR today because your brands kind of serve various constituents and are positioned pretty differently. So can you just talk a little bit about -- we hear value all the time. What is working out there today and given that your brands haven’t really seen any improvement to date despite your expectation that a Wing Street launch at Pizza Hut, I would expect you are going to expect that it’s going to drive incremental same-store sales and you are going back in a bigger way to grilled chicken, which you guys have said is at KFC is a big driver. You know, why is it that you don’t think that you are going to get a little bit of an up-tick as we move through the rest of this year?
David C. Novak: First of all, I think we have to deal with the macro situation that everybody is competing in right now. I don’t think -- I’ve never seen a softer U.S. consumer than what we are seeing today in my career. You’ve got unemployment almost 10%, all-in it’s about 17%. Surveys say 35% of consumers think they could lose their job in the next 12 months. Consumer confidence is weak. You know, people are saying that they are going to be cooking more at home. It’s the first time where I’ve actually seen research show that people are actually cooking more at home than what they say they intend to do. So I think this is a very, very challenging macro environment that everybody is dealing with. Now what works, okay, first of all I think value is something that works in this category and I think what happens right now in the category though is everybody is doing value, so it’s really hard to differentiate yourself. The thing that has worked most this year in the category I think has been Kentucky Grilled Chicken and because it was most -- it was the most innovative new product that’s been introduced in the category and during the introductory period, we saw a tremendous turnaround in KFC. But I think in this category, if you historically look at what works, it’s innovation, it’s significant product innovation and it’s also -- you have to have the strong value proposition and you have to operate your brands well, and I think that’s been true in the past and I think it’s even more true at -- during this period. But the consumer is really under pressure, so even though you might be doing a good job in these areas, it may not be paying off for you like it has historically. So I think as we go forward, we are going to focus on making sure we are value competitive. Frankly we haven’t been value competitive at Pizza Hut and I think that we are paying the price for it and we are also going to really push for much more innovation as we go ahead, and more significant innovation.
Steven Kron - Goldman Sachs: Thank you very much.
Tim Jerzyk: Thanks, Steven. Ashley, next question please.
Operator: Your next question comes from the line of Jason West with Deutsche Bank.
Jason West - Deutsche Bank: Just one on China -- if you could talk a bit about the new store productivity that you are seeing in that market. You know, we’ve seen a bit of a delta between the system sales growth in Mainland China and the unit growth for a while now and I’m just -- I wonder if that’s related to going into some of the smaller cities or if you are just seeing a little bit slower opening volumes, given the environment out there and how that sort of colors your outlook for next year. Do you expect to open the same number of absolute units or keep the growth rate at the same pace? Thanks.
Richard T. Carucci: Regarding first of all the difference between sales of new units versus existing units, in broad terms existing units are about $1.4 million of average unit sales. New units -- and this has been for a while, are more in around the $1.1 million range. That hasn’t changed a heck of a lot. That’s based on two things -- one is within existing cities, we obviously start with the best location so when you are adding the next wave of restaurants, they are going to have lower sales. And secondly, to your point as we go to smaller cities, we generally start at lower sales levels. I want to remind folks that at those lower sales levels, we also have lower cost structure and therefore our margins and returns are similar to the major cities. So we feel pretty good about our new unit economics and we expect that differential to continue going forward. Regarding number of units, we haven’t yet put or seen the detailed plans for 2010 but my best guess is you will see what has occurred over the last several years and that will be that the growth rate may marginally go down and the absolute number go up.
Tim Jerzyk: Thanks, Jason. Next question please, Ashley.
Operator: Your next question comes from the line of Jeff Omohundro with Wells Fargo.
Jeff Omohundro - Wells Fargo Securities: Thank you. Just looking for a little more color on the KFC comp in Q3. From the standpoint of the grilled chicken rollout, just some details perhaps on the grilled chicken sustaining mix -- is it in line with your expectations and should we expect further line extensions around grilled chicken in the near future? Thanks.
David C. Novak: You know, our mix on Kentucky Grilled Chicken continues to be very strong, well over 30%. And we’ve got a full line of Kentucky Grilled items that we are developing in the pipeline. We believe the Kentucky Grilled Chicken was a major step forward in giving us the ability to do two things -- broaden the appeal of the brand and also increase frequency and one of the things that we are seeing with 60 million people trying the product and people are coming back into KFC again and I think that this brand really needed a major shot in the arm and that’s what this product has provided for us. What we have to do going forward is make sure we win in this segment, own the grilled chicken segment, which we definitely intend to do, with not only different forms but also different flavors. So the team is all over this and I am just glad that we have made the investment in the ovens and our franchise system seems to be committed to winning in this segment because it’s critical to our success going forward.
Jeff Omohundro - Wells Fargo Securities: Thank you.
Tim Jerzyk: Thanks, Jeff. Next question please, Ashley.
Operator: Your next question comes from the line of Jeffrey Bernstein with Barclays Capital.
Jeffrey Bernstein - Barclays Capital: Just actually one follow-up on a comment earlier and then a question -- the follow-up is just related to the G&A cost savings. I think you mentioned in your -- well, I know in your press release you kind of said you were close to $55 million year-to-date and the target is 60. Just wondering if you could give a little bit more color on 2010. I thought you mentioned something about you had discovered 20 already -- just wondering if that’s primarily U.S. and whether you see similar such initiatives perhaps at either YRI or China to perhaps see more significant G&A savings in 2010. And then separately just on YRI, I know you mentioned Mexico and South Korea weakness -- I’m just wondering whether you can give a little bit more color perhaps in terms of percentage contribution, what the recent trends have been, and/or what your response is going to be to offset some of that weakness. Thanks.
Richard T. Carucci: Well, let me handle the G&A piece first before we get into YRI -- year-to-date, our G&A has been over $50 million. We said it will be over 60 for the full year so the one thing that is different is we do have certain G&A expenses that are a bit back-loaded this year and that’s why you are not seeing as big an increase in the fourth quarter as you saw in the third quarter. But it’s basically -- reflects actions we’ve already taken. For 2010 on the U.S. side, we will continue to see some savings as we just continue the refranchising, you know, as you reduce restaurants that automatically reduces some of your G&A expenses. Beyond that, we’ve also proactively looked at ways to manage costs in 2010, including for example reducing some of our meetings, et cetera. So that’s how we were able to get the combination of refranchising and project spending, those types of initiatives is how we are able to get a further reduction of at least $20 million, which would offset the refranchising piece of it. Regarding YRI and China, what we would like to do is get a little -- YRI and China, we’d like to get on the G&A side, we’d like to get some leverage on G&A. If you look at China historically, our G&A has pretty much grown in line with our revenues or system sales and we are starting to get a little bit of progress there and would like to get more in 2010. Similarly in YRI, it’s market by market. We have very high growth markets [which we] have to invest in and then we obviously have less developed markets. Again, our goal in 2010, given the environment, is to try to get some leverage on the G&A line. We don’t want to get our costs out ahead of the business in this type of environment but we are going to continue to invest in growth initiatives, so we try to balance that effectively. Regarding YRI, again on the margin side of it, Mexico and Korea, they are pretty small markets for us. If you look at it right now, we’re not making a lot of money in those markets today so it’s a small part of the total YRI profitability. So they don’t have much impact on total profits -- as I said, that’s more driven by our franchise growth businesses but they do have significant impacts on our margin pieces of it. So as we look at that business, as I said before, we are really focusing more on how we are doing in the growth markets.
Tim Jerzyk: Thanks, Jeff. Next question please, Ashley.
Operator: Your next question comes from the line of Joe Buckley with Banc of America Merrill Lynch.
Joe Buckley - Banc of America Merrill Lynch: Thank you. A couple of questions as well -- could you comment on the visibility for food costs across the three businesses? Do you think you have several quarters now of favorable food costs?
Richard T. Carucci: I think it’s hard to say what the environment is going to be like going forward. Certainly in the fourth quarter, we will have some reductions -- not as high as we had in the third quarter because we saw some of the decreases starting in the fourth quarter last year. Right now, our initial forecasts are we are seeing some modest decreases in the first quarter of next year in the U.S. That’s about as far out as we have visibility right now. That will depend on probably cheese and beef are the swing factors on the commodity side for what will occur into the first part of 2010. Beyond the first quarter, I think as I said before, it will depend on the environment. I think if demand stays weak then we will get more upside and if demand size has strengthened, you may see it come back up but we don’t have a lot of visibility beyond the first quarter. Right now, it costs you more than it typically does to lock in costs so the spot costs right now, if those were to continue would get us benefits throughout the first half of 2010 but obviously we can't adequately predict that.
Joe Buckley - Banc of America Merrill Lynch: Rick, is that true in China as well as the U.S.?
Richard T. Carucci: In China we do have visibility into the -- probably about that same timeframe and similar. We would expect -- actually in China we expect a similar commodity cost reduction in the fourth quarter as we saw in the third quarter and again, haven’t seen detailed projections yet in 2010 but I would suspect we are going to see decreases at least in the first quarter.
Joe Buckley - Banc of America Merrill Lynch: Okay. And then a question on China from a sales perspective, you know, you’ve said for a couple of calls now that you saw the consumer pull back and then just basically stabilize. As we lap that initial pull-back, is it reasonable to expect to see better sales results year over year in China?
Richard T. Carucci: I think that’s a very plausible scenario. Again, as we said, this environment is very difficult to predict, Joe but we are well-positioned there and as I said, my personal belief is that the China market will bounce back before the rest but I don’t know when that will be.
David C. Novak: Joe, I think when you look at our average unit volumes in China, we were at $1.4 million. We got a McDonald’s like franchise in China. There’s no reason why we can't do over $2 million average unit volumes in China some day. And as the economy comes back, the way we are leveraging every day part, the upside we have with the multiple proteins, breakfast down the road, home delivery, you know, as this economy comes back we think that we will be able to grow same-store sales at a moderate level and do what we know is the number one driver of our long-term profitability is open up a lot of units. I mean, this year the reason why I am so happy about China, it’s nice to have our unit growth go up 16% even with flat comps. I’ll take that in a bad year and I think as we go into next year, we are going in with stronger capability than we’ve ever had before and we continue to do a couple of other things that I think are pretty exciting. I think we are very excited about East Dawning and we are very excited about Pizza Hut home service. You know, these are down the road emerging categories that will come along with the Chinese customer. So I think we are -- this is sort of a year where we have been able to baton down the hatches pretty well, exceeding most people’s profitability targets coming into the year.
Joe Buckley - Banc of America Merrill Lynch: Just a last question on the U.S. business -- the margins in the quarter, I understand the food cost but you got improvements on the labor line and the restaurant expense line, you know, with down comps, that’s unusual. From your comments, you sound like you don’t expect that to continue in the fourth quarter. Was there something unusual in the third quarter or do you think perhaps you understaffed a bit in the third quarter and you have to beef that up going forward?
Richard T. Carucci: The biggest impact is the impact on pricing. Again, remember what’s happened in 2008, Joe, we had commodity inflation throughout the year and we were always chasing -- what I’ll call chasing that commodity inflation so we kept taking price increases throughout the year. The last set of those price increases really occurred in the third quarter. So what’s happening toward the end of the third quarter, so we were getting benefits in Q3 of 2009 where our pricing was higher than previous year levels at the same time we had the commodity piece that we talked about. So the biggest impact going from the third quarter to the fourth quarter is we are not -- we are getting a little bit less benefit from commodities but we are also not getting the benefit that we got from pricing. On some of the other lines, there’s not as much big change from quarter to quarter although there are some timing things that may make it a little rougher in the fourth quarter. But the biggest impact is probably the pricing side.
Joe Buckley - Banc of America Merrill Lynch: Okay. Thank you.
Tim Jerzyk: Thanks, Joe. Next question please, Ashley.
Operator: Your next question comes from the line of Greg Badishkanian with Citi.
Greg Badishkanian - Citi: Just a little bit of color on the U.S. business -- you mentioned that things didn’t get better in the U.S. I’m just wondering -- was that pretty consistent throughout the quarter and in September or was there any kind of discernible trend there, either sort of U.S. business overall from a same-store sales perspective or if you want to get into a little bit of color on difference concepts.
Richard T. Carucci: Well again, I just want to make sure I clarify what we said, is we talked about overall third quarter results, we split it by concepts. We didn’t give trends during the quarter but what we are saying is so far what we have seen in the fourth quarter is consistent with what we have seen in the third quarter.
Greg Badishkanian - Citi: Okay.
Richard T. Carucci: But we are not really going to amplify by concept.
Greg Badishkanian - Citi: Okay, that is helpful. Thank you. And then just on the promotional environment, would you say that the -- and you talked about things getting a little bit more promotional in value, have things intensified in the third quarter and into the fourth quarter versus what we saw in the second quarter or is it pretty consistent?
David C. Novak: I think it’s tough to really generalize on this but I think you certainly couldn’t say it’s gotten less. I mean, I think you are seeing a lot more burger competition in the dollar arena -- you know, dollar whoppers, junior whoppers, that kind of stuff. Wendy’s is doing the same thing, so I think competition is intensifying.
Greg Badishkanian - Citi: Great. Thank you very much.
Tim Jerzyk: Thanks, Greg. Next question please, Ashley.
Operator: Your next question comes from the line of Thomas Forte with Telsey Advisory Group.
Thomas Forte - Telsey Advisory Group: Thank you very much. Two questions -- first was are you seeing difference as far as consumer usage on the Why Pay More? menu? I think before you talked about how it’s been an effective add-on. Are you seeing a big change in mix? And then given the next couple of quarters, the positive environment for commodity costs, what are your thoughts on pricing over the near-term?
Richard T. Carucci: I honestly don’t know the answer on the mix on the Why Pay More? When we looked at it traditionally, it hasn’t changed a lot but I [don’t have anything] recent on that and if commodity -- if demand stays soft and commodities stay where they are, I would expect no pricing in the near-term.
Thomas Forte - Telsey Advisory Group: Thank you.
Tim Jerzyk: Thanks. Next question please, Ashley.
Operator: Your next question comes from the line of Rachael Rothman with Wedbush.
Rachael Rothman - Wedbush: I just wanted to circle back on a few of the other questions from kind of a 30,000 foot view, it seems like you are calling for -- let’s call it a sequential decline in the fourth quarter or a moderating in the commodity benefit with obviously maybe sales trending roughly in line with where they had been and yet the outlook for 2010 seems pretty confident in at least hitting the 10% EPS growth. Can you talk about what you think is going to inflect between the fourth quarter and 2010 to drive the sequential up-tick in the business trends? Is it sales or is it margins despite the big commodity benefit or is it G&A cuts or how should we think about what the key drivers of that would be and where the inflection would be coming from? Thank you.
Richard T. Carucci: I think that overall, again as you look at our model, it’s very dependent on China and YRI and we continue to see the strong unit development there, et cetera. We haven’t detail modeled out our 2010 -- enough detail to share with you but my suspicion is clearly that China and YRI are going to be big drivers of that growth as they have been in the past. So a lot of our growth there, as we said before, is development oriented. A lot of that stuff is already in the ground. On the U.S. side, we sort of talked about the costs approach that we are taking, so we are trying to be prepared for a potentially tough consumer environment, at least in the first half of 2010. The margin side of it is a piece that is just very hard to gauge at this point because you don’t know the dynamics between the demand and the commodity piece of it, so in terms of the fourth quarter, what we are seeing is we benefited from very low cheese costs so far this year, especially in the sort of second quarter, third quarter. We see those ticking up a little bit in the fourth quarter -- again, hard to predict that going into the year but that’s why -- one of the reasons why you are seeing less commodity benefits in the fourth quarter than in the third quarter.
David C. Novak: I think one of the things that Rick talked about in his comments is that we’ve had in our history we’ve always had challenges but this will be the eighth straight year that we will exceed our at least 10% target and I think it just comes back to the fact that we do have a portfolio and it’s a global portfolio and we can compete in a real growth market, so I think we have a track record for getting to the goal line and we fully expect to be able to do it in 2010.
Tim Jerzyk: Thanks, Rachael. Next question please, Ashley.
Operator: Your next question comes from the line of Larry Miller with RBC.
Larry Miller - RBC Capital Markets: I just wanted to circle back to the weakness in Pizza Hut -- and specifically maybe you can give us a little more detail about the business, the core pizza business, the pasta business, which I think you targeted to be $1 billion, and how Wing Street is performing. And maybe just a general thought about whether the focus on some of the adjunct product lines have maybe cost you some focus on the core pizza business. Thanks.
David C. Novak: Well first of all, I want to say that we are not happy with the Pizza Hut business. I mean, there is no question that we think we have the best brand in the category and we think we ought to be doing a lot better job. Our analysis of the situation is our single biggest problem is that we need to improve the value perception of our base pizza line. We are the premium pizza in the category at a time when obviously people are looking more for price than ever before and I think we are definitely paying a price for that. Our strategy to include both pasta and chicken into the mix, we couldn’t be more convinced of. Right now pasta is about 10% of our mix and it’s in 30% of our transactions, so we have a big business to move forward on. We’re just in the midst now of advertising, building awareness of our line of wings. So we think what we have to do is do a lot better job of communicating, leveraging our quality, our variety, and the scale of the fact that we have 7,000 points of distribution out there. So we think we should be doing a lot better job. One of the things we think we do, we can do is we have hired and are in the process of hiring a new advertising agency to give the brand a fresh, more differentiated positioning because we think we need to do a much better job of getting credit for the fact that we have the pizza, the pasta, and the chicken. Going forward, I love having that arsenal. I really can’t see us winning in this category without having more variety and we think we are making the right strategic investment to get the variety in place so that we can leverage it going forward.
Larry Miller - RBC Capital Markets: Thanks.
Tim Jerzyk: Thanks. Next question please, Ashley.
Operator: Your next question comes from the line of Mitch Speiser with Buckingham.
Mitchell J. Speiser - Buckingham Research: Thanks very much. Two questions -- first on the U.S. business, and in particular on Pizza Hut, and I guess maybe more broadly for the three U.S. brands, can you discuss your customer satisfaction scores? I know Champs was a big topic a few years back and supposedly the customer satisfaction scores may have slipped at Pizza Hut. I was wondering what your Champs scores show for the three brands and if there has been any slippage given that Pizza Hut is underperforming, Taco Bell, KFC are in line but I would think with such advertising, you should be outperforming there. If you can comment on the satisfaction side of the business, please.
David C. Novak: Taco Bell, our consumer attribute measures are strong, are stronger than year-ago. Our ops measures are up pretty much across the board, Champs scores are up -- really proud of the great performance of the Taco Bell team and in addition to that, our margins have obviously improved, so I give the Taco Bell brand high marks. And as you know, Mitch, I don’t think there’s a more charismatic brand in the United States than Taco Bell. Taco Bell users love the brand, it’s talked about brand. You go to the cocktail parties and everybody tells you how much their kids love Taco Bell and our research basically confirms that as well. Pizza Hut, our ops measures are slightly better than what they were last year. No big major improvements, so can’t point to that being a big plus or a negative when you look at the performance. KFC is making significant strides cleaning up its system. We need to get much cleaner stores and we need to do a better job of speed of service. Our Champ scores are not statistically different than what they were a year ago. So what we have done at KFC is we’ve invested in the field. We’ve put more resources up against our franchise system to make sure that we raise our standards and I think Roger Eaton and the team there are doing the best job we’ve done in a long time to put more heat on not only our company stores but the entire system to step up on the operating front. So I think our operations are getting better and the most progress has been made at our most profitable brand, Taco Bell.
Mitchell J. Speiser - Buckingham Research: Thanks, and just a separate question on China -- I believe last year you took about 3% pricing beginning in September. That’s now lapped, I believe and given that the trends are the same in the fourth quarter versus third quarter, does that mean there was a mix improvement or a traffic improvement or maybe I have my pricing timetable a little bit off? If you can discuss that. Thank you.
Tim Jerzyk: The pricing was about 2.5%. It rolled off in July/August timeframe, so right now we are running with no pricing, so you have to keep that in mind. But there really is -- you go back to what Rick said, there hasn’t been any significant change in the trends at all.
Mitchell J. Speiser - Buckingham Research: Okay, but just to --
Tim Jerzyk: Hello?
Mitchell J. Speiser - Buckingham Research: -- versus third quarter, does that mean something -- if the trends are the same, does that mean that the other components may have improved a little bit or --
Tim Jerzyk: Well, yeah, if trends -- if the overall comp number would stay the same, which we clearly haven’t reported that yet, that would show some improvement, slight improvement in transactions if that were the case.
Mitchell J. Speiser - Buckingham Research: Okay. Thank you.
Tim Jerzyk: Thanks, Mitch. Next question please, Ashley.
Operator: Your next question comes from the line of Jeff Farmer with Jefferies & Company.
Jeff Farmer - Jefferies & Company: I have a big picture question on China -- on past calls you’ve pointed out that KFC offers strong everyday value. Is that relative to other western QSR concepts or does that include the local Chinese competitors as well?
David C. Novak: Our research is primarily up against the big chains, so that’s where we win on the values for us that we always cite.
Jeff Farmer - Jefferies & Company: Okay, and then I guess unrelated --
David C. Novak: -- street food is significantly cheaper than ours.
Jeff Farmer - Jefferies & Company: Okay, and then in reference to the recent $300 million share repurchase authorization, what’s the expected timing of the repurchase? I know you can't be too specific but is this mostly a 2010 event and do you plan to fund that repurchase with operating cash flow?
Tim Jerzyk: It would certainly be operating cash flow and we will be opportunistic with it and as you said, we can't be too specific. For the most part, it’s going to be targeted towards 2010 for sure.
Jeff Farmer - Jefferies & Company: All right. Thank you very much.
Tim Jerzyk: Thanks, Jeff. Next question please, Ashley.
Operator: Your next question comes from the line of John [Tao] with Morgan Stanley.
John Tao - Morgan Stanley: Just a quick question on China -- well, two quick questions, one on China first -- can you comment on the competitive set in China, specifically any new concepts that have come to market that you can speak about and what you are seeing from them? And then secondly in the U.S., just seeing how weak Pizza Hut has performed over the past few months, few quarters, can you talk about how comfortable you are with hitting some of your refranchising goals over the next couple of years?
Richard T. Carucci: Nothing really new on the competitive front in China on the QSR side. You are seeing some more dine-in competition that is local in nature in the major cities only, so that’s probably the one change that has occurred in the last nine months or so. Regarding the refranchising, we are still on track to hitting the 500 number we talked about. As of today, I think our number is about 355 units that we have done. If you look at it by brand, we are done with Long John Silver's, we’ve done a lot of progress with Pizza Hut. We are sort of behind on the KFC side but we are starting to put more effort behind that, so you’ve probably seen in our releases the year-to-date number of 286 units -- between the close of the quarter and today, we’ve done another 69. That gets us to 355 as of today. We are pretty -- again, it’s hard to know exactly when deals will close but we still feel comfortable with our target of at least 500.
Tim Jerzyk: Thanks. Next question please, Ashley.
Operator: Your next question comes from the line of Sarah [Senatore] with Sanford C. Bernstein.
Sarah Senatore - Sanford C. Bernstein: Thank you. I just wanted to I hope not nit-pick but ask you about China, drill a little deeper -- I think you said that the pay-back period now is less than three years and it just sounds like the language has changed a little bit from two years to three years. I think you said even the smaller unit, the smaller volume units, they’ll have good ROICs but are we seeing anything incrementally in terms of lower returns as you expand into smaller cities or as the environment gets more competitive?
Richard T. Carucci: Not really. We are continuing to see very good results as we go into more and more cities and we are also continuing to see good growth rates in those cities of the units we put in there, so we’ve talked about different types of returns. The investment costs have gone up a little bit I’m assuming in dollar terms because of the strength of the local currency. That’s probably really the only change that we have seen in the economics over the last nine months or so.
Sarah Senatore - Sanford C. Bernstein: Okay. Thank you.
Tim Jerzyk: Thanks, Sarah. Next question please, Ashley.
Operator: Your next question comes from the line of Matthew DiFrisco with Oppenheimer.
Matthew DiFrisco - Oppenheimer: Thank you. With respect to I guess the outlook for comps to still continue to be in this sort of trend across all the brands domestically down, do you think looking longer term, 2010-11, you have the brand portfolio to compete if we continue to look for this consumer that is looking for value -- is this maybe an opportunity also or what is your appetite for being an opportunistic acquirer of more brands or a brand that might have a better value positioning than what you already have in your stable domestically with respect to the U.S.?
David C. Novak: We are an optimistic grower of our existing assets.
Matthew DiFrisco - Oppenheimer: Okay.
David C. Novak: We really believe in our existing assets. We don’t think there is anything we can't do with them over the long-term and we think we’ve got the power brands and the categories that we are in and we just have to do a better job taking advantage of the fact that I think our biggest asset is we have 35,000 under-utilized assets and that’s why we are so aggressively pursuing new sales layers from breakfast to beverages and to proteins. You know, we really think that we have significant upside. Realize in the U.S. a lot of proof is in the pudding there but I really feel good about the fact that Pizza Hut does have pasta and chicken now going forward. I think we have a much better chance to win with Pizza Hut in the U.S. and KFC is much better off with the grilled product. Now, having said that, KFC and Pizza Hut in today’s portfolio, Yum! Brand portfolio is only 15% of our profits. That’s in the U.S. So when we look at our business, we are really focused on from a long-term perspective the international business that I’ve talked about so much, China which obviously is big opportunity, and also Taco Bell. And when you look at KFC outside the United States, the only competitor we have is McDonald’s, so why can't we do breakfast? I mean, look at all the concepts here in the U.S. I mean, who is closer to the egg than Kentucky Fried Chicken or KFC? So I mean, it’s like we are committed to getting into that business over the long-term. That will leverage the asset base. Taco Bell in the U.S., which we think is our biggest growth opportunity, and by far and away represents most of our profits, the vast majority of our profits, we really believe we can do longer term, everything with our asset base that McDonald’s is doing, or something close to it. There’s no reason in the world why we can't have breakfast, there’s no reason in the world why we can't have a bigger beverage program and we are working on these kinds of things. We just went back into test with a breakfast program for Taco Bell which takes into account all the learnings we had from phase one and we are optimistic that we will be in the breakfast business. And by the way, we don’t have Taco Bell International -- we don’t even have a global brand with Taco Bell and if there was one brand you could acquire in the United States to take global and leverage our international infrastructure, it would be Taco Bell if you didn’t own it. Well, we own it. So we really believe very much in our existing asset base. We believe very much we can leverage our existing assets. We think that we will add sales layers over time and I think when you wake up and look at what Yum! Brands has done five years from now in terms of our average unit volumes, I think you are going to be pretty impressed. It’s tough to see right now in this tough environment but the good news with our company is we are making strategic investments in developing these new layers that we think will allow us to get a lot more sales down the road. So we love our portfolio, love the international opportunity, love the fact that Taco Bell isn’t even that well-known outside of the United States. So plenty of runway for growth as we go down the road.
Matthew DiFrisco - Oppenheimer: I understand and appreciate the international opportunity, certainly. I guess I’m just looking back on is it easy -- it’s not an easy road to move over a brand reputation and to develop those lines when maybe there could be -- I used the word opportunity just because I figured that this is an opportunity where you could take on some brands that are primarily breakfast or primarily beverage rather than trying to change impressions, as it’s tough to do with a very successfully well-developed brand of the KFC, Taco Bell, or Pizza Hut, as you’ve experienced. I was just curious if there was something that you could add to it.
David C. Novak: We are definitely one company that could do it if we want, because we have the financial power that -- you know, the cash flow. We can acquire something that is great if it comes along. We constantly look at things. I’m just telling you that I’ve looked at a lot of things and I like what we have relative to what is out there. If something comes up, we’ll obviously take a look at it. We always will reserve that right but -- and I agree with you, it is tougher to change the perceptions of KFC. It is tougher in the U.S., it is tougher to change the perception of Pizza Hut in the U.S. But we think we can do a better job and we will and the only reason why I point out the international opportunity and the China opportunity and the Taco Bell opportunity in the U.S. is that we have those and we don’t even think we are close to scratching the potential of those brands.
Richard T. Carucci: Just again to put international into context and why we are so excited there, we’ve said this before but we have over 18,000 traditional units in the U.S. with a population of over 300 million people. That’s 60 restaurants per million people. Outside the U.S., we have fewer restaurants than that where there is well over 5 billion people, close to 6 billion people. That comes out to less than 3 restaurants per million people. So we have a huge amount of runway outside the U.S. -- that’s where our biggest opportunity is and generally speaking, we’ve generally not been interested in buying a U.S. concept because that makes us longer in the U.S. versus trying to grow our international business. So we’ll never say never to that stuff but we are very happy with what we’ve got.
Matthew DiFrisco - Oppenheimer: I understand. Thank you.
Tim Jerzyk: Thanks. Next question please, Ashley.
Operator: Your next question comes from the line of Howard Penney with Research Edge.
Howard Penney - Research Edge : Thanks, Tim. I’m good.
Tim Jerzyk: Okay. Thanks. Next question please, Ashley.
Operator: Your next question comes from the line of Keith Seigner with Credit Suisse.
Keith Seigner - Credit Suisse: We talked earlier about the YRI company-operated stores, but I just had two quick questions on the YRI franchise side, which we haven’t talked about in quite as much detail, both relate to the top line, one on units and one on comps. And the one on units is really this quarter we saw a dramatic pick-up in unit closures. In fact, the closures actually outpaced the openings by a decent amount. Can you give us some color on those franchisee closures and maybe how we should think about that going forward? I understand it might have been one large franchisee that contributed to that. And then the second piece on the comp, if you could just help us understand a little bit about the -- you know, how you get to a flat comp in YRI, maybe what’s going on with pricing versus transactions or traffic -- just how that is playing out so we can think about the outlook there as well. Thanks.
Richard T. Carucci: Well to your point, the closures were actually driven by one market [in Spain] where we closed the Pizza Hut business there, so that was -- our contract came to an end and we agreed to go separate ways so that’s really what drove the closures at YRI -- nothing systemic going on there. If anything, our net numbers have been improving over time except for that one event. Regarding the sales at YRI, we sort of gave you the -- in the release the split by geographies. I would say nothing major to report there. In general, what we have seen recently is we have seen our transactions -- in the first part of the year, we had more ticket growth and again, people were taking pricing, et cetera, based on the inflation that they had seen in 2008. More recently, we have seen less impact from that so the numbers of flat are fairly close to what our transaction result is in the third quarter. We expect that probably to occur in the fourth quarter as well. We don’t have visibility really beyond that point in time.
Keith Seigner - Credit Suisse: Okay. Thank you.
Tim Jerzyk: Thanks. Next question please, Ashley.
Operator: There are no further questions at this time, sir. I will now turn the call over to Mr. Jerzyk.
David C. Novak: Okay. Well, thank you very much for being on the call. Just let me wrap it up very briefly, our global portfolio of brands and business remain strong. We are very pleased with our third quarter results, including the 15% operating profit growth, excluding the special items despite the tough economy environment we’ve talked about. China and Yum! Restaurants International continue to drive industry-leading new unit development and they constantly fuel our growth year to year and we are pleased we raised our full-year EPS growth forecast to 12% and we expect 2009 to be our eighth consecutive year of meeting or exceeding our annual target of 10% growth. The fundamental opportunities for our global portfolio remain solidly in place. I think if we’ve done one thing today, hopefully we’ve convinced you how much we believe in what we already have on hand. We think that we will continue to grow our global business, increase the sales in our existing business, drive significant free cash flow like we have in the past, and continue to be the industry leader in return on invested capital. So we love our business, tough year, but pretty good results.
Tim Jerzyk: Thank you, Ashley.
Operator: And this concludes today’s Yum! Brand’s 2009 third quarter earnings conference call. You may now disconnect.